Operator: Thank you for joining us for this morning's call. With us today from Navios Maritime Partners are Chairman and CEO, Ms. Angeliki Frangou; EVP of Business Development, Mr. George Achniotis; and Chief Financial Officer, Mr. Efstratios Desypris. This conference call is also being webcast. To access the webcast, please go to the Investors Section of Navios Partners' website at www.navios-mlp.com and you'll see the webcasting link. I'd now like to read the Safe Harbor statement. This conference call could contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Navios Partners. Forward-looking statements are statements that are not historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Navios Partners' management, and are subject to risks and uncertainties, which could cause actual results to differ from forward-looking statements. Such risks are more fully discussed in Navios Partners' filings with the Securities and Exchange Commission. The information set forth herein should be understood in light of such risks. Navios Partners does not assume any obligation to update the information contained in this conference call. At this time, I'd now like to review the agenda for today's call. First, Ms. Frangou will offer opening remarks. Next, Mr. Desypris will provide overview of Navios Partners' fourth quarter and full year 2012 financial results. Then, Mr. Achniotis will give us an operational update and an overview of market fundamentals. And finally, Ms. Frangou will then offer concluding remarks, and we'll open the call to take your questions. I'd now like to turn the call over to Angeliki Frangou, Chairman and CEO of Navios Maritime Partners.
Angeliki Frangou: Thank you and good morning to all of you joining us on today's call. I pleased with the results for the fourth quarter of 2012. Net income increased by 114% and EBITDA by almost 59%. Of course, this includes a $24.6 million cash compensation we received in the fourth quarter for the restructuring of our credit default insurance. We also recently announced a quarterly distribution of $0.4425 per unit with a record date of February 8, 2013. We have an annual distribution of $1.77, providing a current yield of about 12%. This is a minimum distribution to which we have committed for 2013. As you can see from Slide 2, Navios Holdings owns 25% of the equity of Navios Partners. With the assistance of our sponsor Navios Partners has become a key player in the dry bulk industry. To date, Navios Partners has a market capitalization of about $900 million and an enterprise value of $1.1 billion. Navios Partners has a conservative balance sheet with net debt to charter-adjusted asset ratio of about 32% as of the end of 2012. Consistent performance has also enabled Navios Partners continued access to the capital market and provide Navios Partners the ability to grow its fleet and cash flow. In fact, since Navios Partners went public, we have increased our fleet almost threefold. Today we have 21 vessels in the water with average charter duration exceeding for a year. Looking back, 2012 began as another difficult year in shipping with an interest to continue to be buffeted by global uncertainty and macro headwinds as in 2010 and 2011. In peak, the industry suffered as evident by a 20-year low in the BDI, many shipping companies were required to restructure their balance sheet. However, 2013 began with a number of global uncertainties being resolved favorably, such as through the ECB strength of action, the U.S. legislative action, the new proactive Japanese administration and the new pro-growth Chinese regime. Looking forward, there is a new optimism building as Chinese again seeks to invest in infrastructure to support urbanization. China's GDP grew inline with expectation with strong industrial output. Moreover, iron ore inventories in China were at a two-year low, suggesting a major upcoming Chinese buying cycle. This positive event coupled with a tightening on the global supply demand balance and a record scrapping level should led support to a recovery in shipping. Navios Partners is along with some of its peers, uniquely positioned to take advantage of this market recovery. On Slide 3, we set forth our fleet development during the later part of 2012. As you can see, we acquired three vessels for $109 million. The Navios Buena Ventura, a 2010 built Capesize was delivered in the second quarter of 2012. This chartered out at $29,356 net per day until October 2020 with a 50-50 profit sharing. The Navios Soleil, a 2009 Ultra-Handymax was delivered in the third quarter of 2012 and this chartered out at $8,906 net per day until December 2013. Finally, the Navios Helios, a 2005 Panamax was delivered in the third quarter of 2012, this chartered out at $9,738 net per day until September 2013. We financed these vessels to a new $44 million facility with DVB and ABN AMRO and a $70 million of net proceeds from our second quarter 2012 offering a $4.6 million unit. As many of you know, we restructured our credit default insurance in the fourth quarter of 2012. Slide 4, summarizes our new insurance income. We received $277.2 million of new coverage in a combination of cash and insurance; $252.6 million of revenue is now covered under two new insurance policies, one is a $175.9 million policy issued by AA rated insurance company and a $76.7 million policy covered by Navios Holdings. I know that the maximum cash recovery under the new insurance policies is $140 million. However, 80% of the insured revenue under these policies or more than $200 million of revenue is from investment grade counterparties. As for the non-investment grade portion, our maximum cash payment is equal to 278% of the non-investment grade exposure. We think that we are adequately sure at this point. We also received $24.6 million of cash from our credit default insurance, which we applied for repayment of debt, $10.8 million applied to repay debt otherwise due in 2013 and $13.8 million applied to repay debt otherwise due in 2014 and beyond. This prepayment improved our cash flow by the payment amount in those years. In 2013, this has an effect of reducing our cash breakeven by $1,409 per day per vessel. Slide 5 shows out the multiple ways we have been able to grow our fleet and distribution. To date, we have done so with assistance of our sponsors through various drop downs. We have also exercised purchase options we have on our charter-in vessels. More recently, we have been active in the sales and purchase market and will continue to use this market to improve our fleet as opportunities arise. You can see that all these acquisitions are creative, but also believe that sales and purchase markets for the first time in a while provides attractive entry point. As a result, you can expect us to continue make negotiations from the open market. At this point, I would like to open the call over to Mr. Efstratios Desypris, Navios Partner's CFO, who will take you through the result of the fourth quarter and the full year of 2012.
Efstratios Desypris: Thank you, Angeliki, and good morning all. I will briefly review our unaudited financial results for the fourth quarter and year ended December 31, 2012. The financial information is included in the press release and is summarized in the slide presentation on the company's website. We had another quarter with a strong operational and financial performance. As a result of our continued growth in our operating metrics and the measures taken to lower our cost breakeven, we remain committed to a minimum annual distribution of $1.77 per common unit for 2013. Before I start reviewing our results in detail, I would like to remind you that as Angeliki mentioned earlier, in the fourth quarter of 2012, we received a cash compensation of $24.6 million for the restructuring of our credit default insurance. For accounting purposes, the net effect of this restructuring amounted to $22.5 million and has positively affected EBITDA, net income and earnings per unit calculation for both the quarter and the year ended December 31, 2012. As shown in Slide 6, our revenue increased by 4.6% to $52.8 million, mainly due to the 267 more available days for the fourth quarter of 2012 compared to the same quarter of 2011. EBITDA increased by $22.7 million or 58.8% to $61.3 million for the fourth quarter 2012. Net income increased by $21.4 million to $40.1 million. The increase in net income is mostly attributable to the accounting effect of the cash compensation received on the credit insurance discussed above and the increase in the number of available days, and it was adversely affected by $1.5 million increase in depreciation and amortization expense due to our larger fleet. Operating surplus for the quarter ended December 31, 2012, was $54.2 million, 73.2% higher than the corresponding quarter in 2011. Our fleet continues to perform well. Vessel utilization for the third quarter was 99.9%. Moving to the 12 month operations. Time charter revenue increased by $18.4 million to $205.4 million, mostly due to the 751 more available days. EBITDA increased by $39.6 million or 28.7% to $177.4 million. Net income increased by $30.6 million or 46.9% to $95.9 million. Operating surplus for the year ended December 31, 2012, was $148.9 million, which is 28.5% higher than the corresponding period in 2011. Turing to Slide 7, I will briefly discuss on key balance sheet data for December 31, 2012. Cash and equivalents, including restricted cash was $61.7 million. Total assets grew to $955 million, mainly due to the acquisition of three vessels during the year. Long-term debt, including current portion decreased by $26.3 million. This was mainly due to the $70.3 million debt repayment made during the year, of which $24.6 million relate to the prepayment made in the fourth quarter, following the cash compensation received for the restructuring of our credit default insurance. This prepayment had an effect of lowering our cash breakeven for 2015 by $1,409 per day per vessel. Furthermore, we have obtained additional financing of $44 million for the acquisition of the three vessels during the year. Net debt to asset value on a charter-adjusted basis decreased to 32.4% at the end of the quarter. We are able to maintain this at relatively low leverage ratio, despite the decrease in the vessel values in the market. As of December 31, 2012, we were in compliance with the financial covenants of our credit facilities. As shown in Slide 8, we declared distribution for the fourth quarter for $0.4425 per common unit. This represents a 26.4% increase over our minimum quarter distribution. The record date for the distribution is February 8 and the payment date is February 14, 2013. Total distributions for the quarter amount of $27.6 million. Our distribution coverage for the quarter was 1.96 times. Our healthy coverage ratio and our strong financial performance enable us to remain committed to a minimum annualized distribution of $1.77 per common unit for 2013. Here I have to remind you that for U.S. tax purposes, a portion of our distribution is treated as a return of capital. Also, we reported accumulative annual distributions for our common unitholders on Form 1099. On Slide 9, you can see that Navios Partners has consistently paid quarterly dividend distributions, since it's inception in November 2007. Furthermore, we have increased our quarterly dividend distribution nine times since 2008, which represents an average increase of almost once every two quarters. Our current annual distribution of $1.77 provides for an effective yield of 12.1% based on yesterday's closing price. Slide 10, demonstrates our strong relationship with key participants in our industry. We have quality charters with an average remaining period of over three years. These charters are spread among a diverse group of counterparties. In addition, we have insured our long-term charter-out contracts for credit default with either a AA rated insurance company in the EU or our sponsor Navios Maritime Holdings. As shown in Slide 11, our fleet consist of 21 vessels; 7 Capesizes, 12 Panamaxes and two Ultra-Handymax vessels. We have a relatively young fleet with an average age of 6.2 years as compared to the industry average of 10 years. Currently, we have contracted 87.6% of our available days for 2013 and 48.3% for 2014. The expiration dates are staggered and the charter durations extend to 2020 to the latest. I'll now pass the call to George Achniotis, our Executive Vice President of Business Development to discuss the industry section.
George Achniotis: Thank you, Efstratios, and good morning all. Please turn to Slide12. World GDP continues to be driven by developing economies. Developing economies now contribute a higher percentage of total world growth than the developed economies, representing over half of the global consumption of most commodities. Yesterday the IMF slightly lowered its forecast for world growth to 3.5% for 2013 and 4.1% for 2014. Emerging economies are projected to grow at 5.5% in 2013 and 5.9% in 2014. The Chinese economic growth is unchanged at 8.2% in '13 and 8.5% in '14. India's economic growth is expected to be 5.9% in 2013 and 6.4% in 2014. Turning to Slide 13. The primary engines of trade growth continue to be China, India and Brazil with other emerging countries having a strong growth. Dry bulk trade has expanded by an average of 5.4% per year in the last decade, since China joined the WTO. Consensus forecast for 2013 for global dry bulk trade to grow approximately 5% and ton-mile growth of about 7%. A similar growth rate is estimated for net fleet growth leading to balance the supply demand dynamics. Please turn to Slide 14. In order to continue the urbanization and industrialization, China and India continue to invest heavily in infrastructure throughout Latin America, Africa and the Middle East. Both countries are securing supply lines of natural resources with these infrastructure investments to ensure continued growth. As a larger portion of world trade is occurring between emerging and developing countries, trade patterns are shifting eastward and southward. According to new figures from the World Bank, the value of exports from developing countries to other developing countries, be south-south trade now exceeds exports from poor countries to rich ones, south-north trade. Moving to Slide 15. The development and urbanization of the western and central parts of China will contribute significantly to steel consumption in 2013 and onwards. Infrastructure, housing construction and consumer spending growth will underpin development in 2013 and beyond. Underlying this trend is the continued expansion of Yangtze River cargo traffic, which reached another record of 1.8 billion tons carried in 2012. Crude steel production in China in 2012 was about 5% more than 2011. In order to support this growth, China imported 745 million tons of iron ore, 9% more than 2011. Of particular note is that imports increased 9% in 2012, while domestic iron ore production was stagnant at about 1% increase year-on-year. The current substitution of imported iron ore for low quality domestic production is expected to continue and will increase the tons carried and ton miles. The chart on the upper right shows estimated new iron ore mining capacity from Australia and Brazil graphed against the expected decline of domestic Chinese iron ore mining. Turning to Slide 16. India has taken initial steps to industrialize and urbanize. As you can see on the lower right hand chart, India is expected to increase its urban population to 590 million people by 2030. That means India will have to build about 1.5 New York cities per year during that time. To keep pace with expanding steel and electricity production, Indian coal imports shown on the left hand chart have increased at a 24% compound annual growth rate between 2006 and 2011. According to the Central Electricity Authority of India, substantial demand will continue and 65% of current plant new power generators will be coal fired. India currently generates 79% of its power using coal. As a comparison, the U.S. uses coal to generate about 40% to 45% of its electricity. Turning to Slide 17. Low freight rates, expensive fuel, and high ship scrap prices led to record scraping of 33 million deadweight tons in 2012. Scraping rates for older, less fuel efficient vessels have continued at very high rates this year. Through January 18, about 1.5 million deadweight tons was scraped. If this trend continues, scraping could once again exceed 30 million tons in 2013. The current rate environment should keep scraping levels high as over 6.4% of the fleet is 25 years of age or older and over 13% of the fleet is over 20 years old, providing about 89 million deadweight tons of scraping potential. Of note is that the current 2013 scarping totals already include three ships that were less than 20 years old and one that was less than 15 years of age. If demolition prices appear to depend on overall steel prices and not on the supply of vessels, they are expected to remain high, thus making it economically logical to scrap older, less efficient vessels. Moving to Slide 18. 2012 new building delivers totaled a record 98 million deadweight tons, against unexpected 139 million deadweight tons. As was the case in 2011, non-deliveries amounted to 30%, bringing 2012 net fleet growth at 10.3%, the lowest level in the last four years. Net fleet additions this year expected to be lower than last year. This means that net fleet growth should balance with the expected ton-mile increase in demand during 2013. The order book declines dramatically in 2014 and beyond, it is expected to remain that way as banks continue to severe restrictions for new building loans. Please now turn to Slide 19. An over supply of tonnage and continued economic weakness in 2012, contributed to the BDI reaching lowest yearly average since 1986. Front-loaded deliveries of new vessels may keep Q1 rates under pressure and this intent should help to maintain current higher scrapping rates. China seems to have return to growth, meeting or exceeding their stated 7.5% growth goal. Steel prices are showing signs of recovery and power generation is up year-on-year. So far in 2013, rates have stabilized, given a strong demand for South American grain exports. China is expected to deemphasize domestic iron ore production in favor of iron ore imports, which will support the Capesize vessels. In contrast, Panamax and Handymax rates are expected to be pressured as new buildings are delivered. This concludes my presentation. I would now like to turn the call over to Angeliki for her final comments.
Angeliki Frangou: Thank you, George. This concludes our formal presentation and we'll turn the call to questions.
Operator: (Operator Instructions) Your first question comes from the line of Michael Webber with Wells Fargo.
Ross Briggs : It's actually Ross on for Mike. I wanted to start with fleet growth. You mentioned the S&P market. I think on Q3, you had talked to something in the neighborhood of four to six vessels. I just wanted to, one, is that still kind of a target over the immediate term? And second, are you out there looking at things? And if so, what kind of vessels are you looking at, are there distressed opportunities, are they the bigger size? And just any color on that would be helpful?
 Wells Fargo: It's actually Ross on for Mike. I wanted to start with fleet growth. You mentioned the S&P market. I think on Q3, you had talked to something in the neighborhood of four to six vessels. I just wanted to, one, is that still kind of a target over the immediate term? And second, are you out there looking at things? And if so, what kind of vessels are you looking at, are there distressed opportunities, are they the bigger size? And just any color on that would be helpful?
Angeliki Frangou: First of all we are very active on the S&P market. This is a market that is favorable for buyers, both on the distressed bills, and I mean in that sense, in these kind of a low level, usually you have owners that really are weak, that's why they would like to sell into this market. We've again been weakened, I think that creates more activity from the Japanese market and we have in a target of four to five vessels on a yearly basis.
Ross Briggs - Wells Fargo: Is it fair to assume that those are kind of same sizes that you're already in, Capes, Panamaxes. Would you go bigger than like the post-Panamaxes refer, some people talk about, or is it just a matter of where values are?
Angeliki Frangou: It is driven by value and the best relative value, but it will be on the sectors we are in.
Ross Briggs - Wells Fargo: Next, you've got a number of vessels rolling off in 2013, the ones that have come off recently. For the most part you've been looking to move them relatively short-term contracts. Is that fair to assume going forward that if rates stay where they are, will you probably look to lock them up relatively short-term?
Angeliki Frangou: Yes, we see that 2012 was a difficult year, 2013 we have seen that positive things happening from the ECB to U.S. legislations to a proactive Japanese administration, to a pro-growth Chinese administration. So we see that there is positive things and we also feel the supply demand side that this net fleet growth is here to be balancing with dry bulk millions of tons. So with this kind of characteristics and with the vessels coming in the second half mostly of the year, we'd like to keep it short served as we have the ability to see the upside of the recovery.
Ross Briggs - Wells Fargo: And then, finally, a modeling question further. Can you provide any details on the drydocking schedule for 2013? How many of vessels and by quarter how many?
George Achniotis: Ross, it just was an overview, we can take that off-line, if you want. We expect around five to six vessels to grow over drydock. I think only one of it is coming in Q1.
Operator: Your next question comes from the line of Natasha Boyden with Global Hunter.
Natasha Boyden - Global Hunter: So I just wanted to drill down a bit, as Ross pointed out, you do have a number of ships coming off charter this year and a number for next year as well. And obviously, given the current market environment, it's probable that the assumption for the new rates will be well below current rates. I'm just curious as to your thoughts on how you intend to make any dividend payouts at this point, should you re-charter the vessels at market rate?
Angeliki Frangou: We have accounted that we will do it at market rates and that's why reiterate our commitment on minimum distribution of $1.77. We feel very comfortable about that. But of course, as I said before we will do it in short periods. We are not going to lock in this rate. But we can see it as we feel very comfortable on doing our distributions.
Natasha Boyden - Global Hunter: The comfort that you have is for 2013, is that correct, not necessarily 2014?
Angeliki Frangou: We can do the calculation and you can see that we will look into 2014. It's the first time that we like to reiterate our commitment on minimum distribution, irrelevant to other additional purchases we may do in the year.
Natasha Boyden - Global Hunter: So wanted to look just a little bit more on the industry question. How do you view the new eco-designed ships impacting the broader dry bulk market, both in terms of their increased capabilities as well as any potential of new ordering that they could spark?
Angeliki Frangou: I will take away a minute on eco-design. One thing that I wanted to add on the previous question that maybe I didn't mentioned enough. On the profits we received on the $25 million receipt from the insurance, which in essence was extra cash flow, we reduced our cash breakeven by $1,400, a little bit more than a $1,400 per day per vessel for 2013. And it's something that you should also take in your consideration and in your calculations, as I forgot to mention that before. And now on the eco-design, we will of course, monitor this situation. First of all, you can do an alteration that is relative with about $200,000 you can have eco-speed and even less on certain vessels as we have modern vessels that cost us even further reduce it. You will be amazed that it goes down to about a 50,000 at best. And in the eco-design and that your actual reduced speed is very comparable with a couple, maybe, two, three tons differential from existing vessels. Also the real eco-designs will not come into effect until 2014, real eco-design not the reduced engines, which will do not produce anything. You can do it with a 50,000 alteration. You can actually do it in the existing modern vessels. As you remember, Navios has modern designed vessel, Japanese and South Korean. So the alteration to reduce, to lower economic speed is really not very expensive. It is very inexpensive to about 50,000. In the longer term, I think the differential is minimal. Of course, we will always commit to a newer design as we go along. And we have done that with some of our chartering vessels, as they will be coming on the new eco-design.
Natasha Boyden - Global Hunter: And just moving back to the company specific, I know that, Angeliki, you've talked a lot of the past about potential distressed opportunities. Can you talk about what the environment is like out there for those kinds of opportunities? And how willing the banks are to sort of step in with you and execute?
Angeliki Frangou: The banks are willing to step in. The issues are really ignored, with this kind of book values versus market values, and despite that it exists is quite tricky on every side how to accommodate these things. I think one positive thing we can see that with the ECB action and with the European Union being able to come to a normality, companies can borrow. We saw Spain, Italy borrowing. And banks can borrow from the bond market. That will allow them to take the losses, which previously they were very unable to do it, because it will hit the Tier 1. Also with Basel III extended until 2019, you still have an extra cushion of tier lock ups. So now, banks can transact, which previously they could not take the loss. So there are two positive things, having the Basel III extended until 2019, giving ability for the Tier 1 capital to remain at a higher level, plus the ability of bank even in Spain to borrow directly from the market, will allow banks to take the real losses and move from book values at pre-crisis level to realistic market values of today.
Operator: Your next question comes in from the line of Christopher Combe with JPMorgan
Nish Mani - JPMorgan: This is actually Nish Mani for Chris. Just a couple of quick questions on growth. In terms of acquisitions that you guys are looking at, we noticed that the Navios Buena Ventura was actually acquired with a pretty long-term charter. And obviously, you guys paid a premium in order to secure that charter. Is that a strategy you guys are willing to look at, come again? Or are you mostly looking at unchartered vessels in the S&P market at this time?
Angeliki Frangou: We haven't articulated that we are also looking. We believe that in today's cycle and the momentary cycle is also attractive to buy vessels from the open market, with no charters. But of course, in today's values today's charters make sense. So as market recovered, revenues recover, this becomes more accretive in the bottomline. I think for every $1,000 that is above cash breakeven, you have $1.02 accretion to the all unit holders. So if you buy vessels today, and you make sure that your breakevens make sense, so today's cash flow with today's value are okay. Every $1,000 that then market recovers, which will eventually happen, this will translate to $1.02 accretion to your entire unit holder. That's how you replenish the cash flows that you're going to be missing, as the vessels are coming from the previous charter.
Nish Mani - JPMorgan: So it seems like a tactical mix, then, because obviously you're willing to go for the unchartered vessels as well. And how does this factor in with the dropdown program from the parent company? Is that something you guys are still actively pursuing and seeking candidates and are the discussions ongoing now?
Angeliki Frangou: If you have seen in a Page 5, we always articulated that we have three venues of growth. One is via the sponsor that creates a steady flow of vessels, and you have seen that we have transferred about 11 vessels and over a $115 million of EBITDA. We have exercised our purchase option, which is another area where you can have opportunities as yen is now weakening, and we broke the 90 level, we will see more from the Japanese market coming from purchase option. And the third option, was always buying from the open market. In today's level where, they are really on the typical low and seasonal low and you have attractive distress opportunities, the dry bulk open market, the S&P market is a very attractive market. That's how you replenish asset in the low of the cycle, so that you're able to replenish your entire age profile and fleet.
Nish Mani - JPMorgan: And then just a final question. On the Aldebaran, which the charter expires in March, are there any material updates as to, kind of, the chartering strategy you will employ? Will it typically focus on the shorter charter with the profit share? Or how do you guys look at that?
Angeliki Frangou: We're going to be looking on a shorter period. I mean the good thing it's going to be opening up on Q2, which usually is the seasonally a stronger quarter, as you know, we have the seasonality. Q2, Q4 being seasonally up, with Q1, Q3 being the seasonally low, so I think it is in a good moment.
Operator: Your next comes from the line of Joshua Katzeff with Deutsche Bank.
Joshua Katzeff - Deutsche Bank: I'll just start off on the balance sheet. It looks like related-party liabilities has been ticking up steadily through the year. I guess, how should we think about that $21 million or so going forward? Is that going to be reduced or is this, kind of, a good run rate going forward?
Efstratios Desypris: Joshua, first of all, this is a timing issue, but also that is growth of our fleet that you have to take into account. So if you compare what is the balance now compared to the previous quarter, not a year ago, you will see that more or less the balance do not move so much higher. So effectively going forward, we should expect to have a little lower amount due to related-parties after we take into account the timing difference. And we should expect it to come under appropriate levels, somewhat lower than what you're seeing now.
Joshua Katzeff - Deutsche Bank: So Q3 might be a better run rate?
Efstratios Desypris: Yes.
Joshua Katzeff - Deutsche Bank: And then switching gears, with regard to fleet growth, I guess, how should we expect that to be funded? There's $30 million or so of free cash. Clearly, you could take on some leverage. But are you still thinking about potentials for further capital raises, or are there opportunities to get really attractive bank financing, where you could put up limited amounts of actual equity?
Angeliki Frangou: We have two ways, either we can work with our banks and create a very attractive package for us where our breakevens becomes very attractive on the front end or we can do acquisitions. So it both ways can be done.
Joshua Katzeff - Deutsche Bank: And I just wanted to clarify something from earlier on the call. I guess we should expect acquisitions to be used to bolster the dividend, particularly, correct, and not necessary for increases?
Angeliki Frangou: Can you repeat, because I didn't understand your question?
Joshua Katzeff - Deutsche Bank: I guess I just wanted to clarify that, I guess, the acquisitions are going to be used to kind of maintain the dividends, not necessarily for increases?
Angeliki Frangou: Let me repeat, we are committed in our dividend of 2013, with today's market on all rechartering of our vessels. On new acquisitions, this will have to be judged on the particular acquisition. It's a little bit difficult to say, depends what kind of a vessel we'll find on what kind of situation. So I think it's a little bit immature to give you this kind of answer.
Joshua Katzeff - Deutsche Bank: And then, I know, Natasha, kind of asked this question earlier, but just wanted to clarify. So with regards to the distributions in 2014 and the time charters rolling, I guess, how do you think about the distribution in 2014?
Angeliki Frangou: We don't have any problem, as I stated. But that's why we gave that clarity.
Operator: Your final question comes from the line of Ken Hoexter with Bank of America Merrill Lynch.
Wilson Chen - Bank of America Merrill Lynch: It's actually Wilson sitting in for Ken. Most of my questions have been answered, but coming at the distribution question from another angle. I mean, obviously, that the unit coverages seems relatively healthy, but as some of the charters roll off, you've kind of spoken as much that the rates you are probably going to get are going to be lower. At what kind of coverage do you start getting more comfortable with increasing the distribution again, if you have a target in mind? Or any type of guidelines in that sense would be very helpful.
Angeliki Frangou: We feel comfortable on 110, 115. So I think the moment we see more, better than that, we will definitely increase distributions. In essence, we are all aligned in vision. The growth and distribution aligns the whole company and the investors.
Operator: That was our final question. And now, I'd like to floor back over to Ms. Frangou, for any closing remark.
Angeliki Frangou: We thank you very much for attending our Q4 result.
Operator: Thank you. This concludes today's conference call. You may now disconnect.